Operator: Good day, and welcome to the American Woodmark Corporation Third Quarter 2015 Conference Call. Today's call is being recorded, Thursday, February 26, 2015. We will begin the call by reading the company's Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission and the Annual Report to Shareholders. The company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. I'd now like to turn the call over to Glenn Eanes, Vice President and Treasurer. Please go ahead, sir.
Glenn Eanes: Thank you. Good morning, ladies and gentlemen, and welcome to this American Woodmark Conference Call to review our financial results for our third fiscal quarter ending January 31, 2015. Thank you for taking time to participate. Participating on the call today from American Woodmark will be Kent Guichard, Chairman and Chief Executive Officer; Cary Dunston, President and Chief Operating Officer; and Scott Culbreth, Senior Vice President and Chief Financial Officer. Scott will begin with a review of the quarter and an outlook on the future. After Scott's comments, Kent, Cary, and Scott will be happy to answer your questions. Scott?
M. Scott Culbreth: Thank you, Glenn. Good morning, everyone. Today, we released the results of our third fiscal quarter ended January 31, 2015. Financial headlines for the quarter. Net sales were $189 million, representing an increase of 12% over the same period last year. Reported net income was $7.3 million or $0.45 per diluted share in the current fiscal year versus $2.9 million or $0.18 per diluted share last year. Excluding the one-time benefit of research and experimentation credit, net income was $7.1 million or $0.44 per diluted share. For the quarter, the company generated $17.3 million in cash from operating activities compared to $7.7 million for last year. For the 9 months ended January, year-to-date net sales were $618.6 million, representing an increase of 15% over the same period last year. Net income was $24.2 million or $1.52 per diluted share in the current fiscal year versus $14.8 million or $0.95 per diluted share last year. Excluding the one-time benefit of Research and Experimentation Credit, net income was $23 million or $1.44 per diluted share, an improvement of 52%. For the current fiscal year, the company generated $36 million in cash from operating activities compared to $23.5 million for last year. Some additional comments on sales performance starting with the new construction market. Recognizing a 60 to 90 day lag between start and cabin installation, the overall market activity in single-family homes was up 8.5% for the financial third quarter. Single-family starts during September, October and November of the prior period averaged 632,000. Starts over that same time period from the current year average 686,000. Our new construction base revenue increased over 15% for the quarter. We continue to over-index the market due to an increase in share penetration with our builder partners and the better-than-average health of the markets where we concentrate our business. Remodel business continues to be challenging. On the positive side, unemployment continues to improve. The U3 unemployment rate dropped to 5.6% and U6 fell to 11.2% for the fourth calendar quarter of 2014. Consumer sentiment was 98.1 in January, the highest rating since January 2004 as lower fuel prices and improvements in the labor market are favorably received. Existing home sales increased during the fourth quarter 2014. During October and December of 2013, existing home sales averaged 4.9 million units. That same period for 2014 averaged 5.1 million units, an improvement of 2.6%. Interest rates fell in the quarter with a 30-year fixed-rate mortgage at 3.67% in January, an improvement of approximately 76 basis points versus last year. All cash purchases fell versus the prior year. 26% of all transactions were paid in cash in December versus 32% last year. From a negative side, inflation-adjusted average household incomes are at the same -- are the same as they were 20 years ago and too many workers are in part time jobs wanting full-time employment. Residential investment as a percent of GDP for the fourth calendar quarter 2014 remained flat at 3.1%. The indexes remained flat for the last 5 calendar quarters and the index remains well below the historical average of 4.6 from 1960 to 2000. Home ownership rates also continue to decline. The percent of Americans who own their own home in the fourth calendar quarter was 64%. This is the lowest reported level since the first quarter of 1995. Share of first-time buyers remains low. The December reported rate was 29%, which is well below the historical norm of 40%, represents a 27-year low. Median existing home price rose 6% for December, 34th straight month of year-over-year gains, which impacts our consumers' affordability index. We believe the cabinet remodeling market grew in the low single digits during the quarter. Our combined big box and dealer remodel revenue grew high single digits during the quarter. We continue to maintain our share of the big-box channel and the dealer channel over-indexed the remodel market due to the more fluent nature of the customer base. Our Waypoint brand continues to gain share, and we grew our dealer business at a faster rate than both the overall remodel and dealer channel. Promotional activity was flat with prior year for the fiscal third quarter. Our early assessment for the fiscal fourth quarter is that activity has increased in the remodel channel. Regarding gross margin performance. The company's gross profit margin for the third quarter of fiscal year 2015 was 18.6% of net sales versus 15.4% reported in the same quarter of last year. The company generated a year-over-year incremental gross margin rate of 46% for the third fiscal quarter. Gross margin was positively impacted in the quarter by higher sales volume and improved operating efficiency as we generated favorable leverage on our semi-fixed and fixed overhead with additional volume. The company generated leverage on overhead with spending increasing 9% on a 12% increase in sales. Average unit material cost increased approximately 3% primarily due to ongoing inflation. Year-to-date gross profit margin was 17.7% compared to 17.1% for the same period in the prior year. Year-to-date, the company generated a year-over-year incremental gross margin rate of 21%. Regarding operating expenses. Total operating expenses increased from 12.4% of net sales in the third quarter of the prior year to 12.8% this fiscal year. Through 9 months, SG&A improved from 12.5% of net sales to 11.7%. Selling and marketing expenses were 8.5% of net sales in the third quarter this year compared with 8.5% in the prior year. The company did not generate leverage this quarter due to timing of displays and product launch cost. General and administrative expenses were 4.3% of net sales in the third quarter of fiscal year 2015 compared with 3.9% in the prior year. The increase in our operating expense ratio is a result of higher performance-based compensation cost. With respect to cash flows. The company generated net cash from operating activities of $36 million during the first 9 months of fiscal year 2015 compared with $23.5 million during the same period in the prior year. Improvement in the company's cash from operating activities was driven primarily by higher operating profitability and lower increases in customer receivables, which was partially offset by increases in inventory level to support higher sales. Net cash used by investing activities was $43.5 million, including a $29.5 million investment short-term certificates of deposit, resulting in a net use of $14 million during the first 9 months of the current fiscal year, compared with $8.3 million during the same period of the prior year. This increase was driven by additional investment in property, plant and equipment. We have spent approximately $4.1 million for our South Branch plant expansion. The company expects to spend $13 million in the second half of the fiscal year for the project, with the remaining $15 million spent in the first half of fiscal year 2016. Net cash provided by financing activities decreased $9.5 million during the first 9 months of the current fiscal year, compared to the same period in the prior year that the company repurchased 163,326 shares of common stock at a cost of $5.1 million and proceeds from the exercise of stock options decreased $4.4 million. In closing, remodel market remains challenging. The dealer channel continues to outperform the market with their more affluent customer base while the home center channel continues to lose share with their middle-income consumer. The new construction market appears to be improving with the December single-family housing starts coming in at 727,000, the best since March 2008. January declined to 678,000 but grew 16% versus prior year. Consumer confidence has increased but the middle income consumer's willingness to purchase a new home or begin big-ticket discretionary home improvement projects remains a concern. We believe we will continue to be faced with difficult market conditions for the remainder of the fiscal year but our performance will continue to outpace the market. Inflation pressure has slowed with hardware lumber prices stabilizing. We continue to generate favorable leverage on our semi-fixed and fixed overhead with additional volume, and we delivered an incremental gross margin rate of 46%. As stated for the prior 2 quarters, we believe the company has established a 3- to 4-year trend of improvement, which mirrors the improving housing market. Some quarters have been below the trend line and some have been above the trend line. The third quarter was a good quarter and again above the trend line. Looking forward, we maintain our expectation we shared in our last call that we will increase margin rates and grow net income in fiscal year 2015. Although we remain optimistic about future revenue growth, we're somewhat cautious on current industry projections. This concludes our prepared marks. We'd be happy to answer any questions you have at this time.
Operator: [Operator Instructions] We'll go first to Scott Rednor with Zelman and Associates.
Scott Rednor - Zelman & Associates, LLC: Scott, in your script you mentioned increased activity in 4Q relative to remodeling. Was that a sales or a promotional comment?
M. Scott Culbreth: That was a promotional comment.
Scott Rednor - Zelman & Associates, LLC: And so how do we think about that in terms of the gross margin going forward? Clearly, 3Q is really strong. What do you think is repeatable and how should that factor in into what we will see in 4Q?
M. Scott Culbreth: Yes, I think the promotional activity could be a little bit higher from an expense perspective in our quarter versus Q3, but I think it will be fairly insignificant on our total margin result.
Scott Rednor - Zelman & Associates, LLC: And then just within the gross margin analysis, clearly, you guys are already in spending for that plant and 3Q is strong. So as we think about going forward, can you still maintain your target rate of 25% incrementals on that gross margin line as this facility has ramped up or how should we think about that flowing through the P&L, either beneficial or a headwind on the specific quarter or half basis?
M. Scott Culbreth: Yes. I think we've had that question a couple of quarters, and I'll give you the answer we've given in each of those quarters. Our goal was always to deliver the 25% incremental gross margin rate. Certainly, we were able to do that in Q3 and year-to-date, we're at 21%. Our belief is that we'll continue to do that as we press and go forward. Initially when we go live with that South Branch facility, there will be a drag on margin as we put that depreciation cost in our result and we bring in staff. So there maybe a slight dip out of the gate. I don't have an exact figure to give you. I think that's the question has been somewhat posed in the past. We're in the midst of our budget exercise and would likely be able to give a better sense of that next quarter when we come out and give you our outlook and wrap up our Q4 results.
Scott Rednor - Zelman & Associates, LLC: Okay, great. And then just last on the builder side, are you seeing anything different by region? Clearly, you have a plan in Houston. So just curious if any regional commentary you can provide.
S. Cary Dunston: Scott, this is Cary. We're starting to see some -- actually, as much as you read in the paper about the impact of oil, we do have a few builders that are talking about slowing down in the Texas market. We're starting to see a little bit of it. Not a substantial impact thus far but it is something we're keeping a close eye on. Some of the bigger areas -- Phoenix has definitely slowed down, and we have actually seen a low slowdown even in the Florida market on the builder side.
Operator: And we'll go next to Nick Coppola with Thompson Research Group.
Nicholas A. Coppola - Thompson Research Group, LLC: I wanted to dig in a little bit more on the gross margin performance in the quarter. Clearly, very strong, well above the 25% long-term incremental gross margin we talk about. And I think I heard you guys call out higher sales volume, improved operating efficiency, which sound like pretty kind of typically drivers of gross margin improvement. Was there anything a little bit more unusual that drove that really, really great performance in the quarter? Just any kind of greater detail that you could provide would be helpful.
S. Cary Dunston: Yes, 2 other points I would draw you back to. If you went back a year and looked at Q3 of fiscal year '14, one of the things you would have heard the team talk about at that point in time was the crewing and infrastructure we put in place for our new construction business and that was a pretty severe drag on margin in that particular quarter. At this point in time, we've now grown into that structure. It was a drag on our first quarter and our second quarter result, but we've essentially grown back into that structure. So that's 1 comment. The second would be with respect to inflationary impacts. A year ago, we were taking pretty big increases and that pressure has slowed. So that'd be the other piece.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay. That makes sense. It's helpful. And then wanted to ask also about your rate of growth within the new construction channel and so continued trends there, talking about over 15% growth. And so what kind of -- how sustainable is that kind of growth rate for you? And I know a lot of that is in excess of starts, a result of a number of factors. I mean, can you help guide us through where you think the new construction business goes for you and how those positive drivers kind of project out into the future?
S. Cary Dunston: Yes, it's -- to kind of forecast the housing industry has been quite a challenge for everybody involved and there's a lot of factors that, obviously, we look at, and I know others look at. We have constantly reported and consistently reported that we are over-indexing in that market. Obviously, with the builders we do business with, we've teamed up with some of the best builders in the country and they are over-indexing in their markets. Also the geographic regions in which we have historically played have been over-indexing relative to the U.S. as a whole. And then our market share as well has substantially improved over the past 5 years. So as you look at those, our market share, we do expect to continue to over-index. I think there will be some slowing impacts out there, both regionally, as we just discussed, whether that's Texas or Florida or Phoenix or some of the major markets we play. We are starting to see some variation in those markets. Also, our comps will get tougher and tougher when you talk about market share gain. We've gained most of market share in the past 5 years, and we're taking advantage of that market share growth, and we are continuing to grow market share but it will be at a slower pace than what we've done in the past. So in general, I do expect us to continue to over-index, but I do expect the incremental amount that we do over-index will be less than what we've done in the past.
Operator: And our next question from Tim Wojs with Baird.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: I guess, I just -- I wanted to get a little bit more color on something, Scott, that you alluded to in the comments. Just that you were somewhat cautious on current industry projection. I guess -- is that the repair market? Is that the new construction markets? Just maybe a little bit more color there could be helpful.
S. Cary Dunston: This is Cary, Tim. Primarily, if you look at what the -- a lot of analysts are talking about out there and we obviously read what's being projected for calendar year '15, primarily related to new construction and obviously there's a strong correlation as new construction improves and certainly remodel improves, because you assume there's a domino impact of people buying up and so forth. And similar projections we're seeing out there and obviously there's a large range from 8% to even as high as 27% to 30% when you talk to some folks. We've spent quite a bit of time in the past couple months obviously in preparation for our budget as Scott mentioned, KBis [ph] several weeks ago and spending time with a lot of our builders. And there tends to be, I guess, a little more conservatism on the builder side if you talk directly to builders with regards to some of their numbers compared to what you may hear from the industry analysts and so forth. And at the end of the day, though, if you just look some of the economic underpinnings of that key variable that we track very closely, and that's first-time homebuyers. Some builders are starting to talk about ramping up for that but for the most part, a lot of those economic indicators just have not changed enough in our opinion to really go out and kickstart anything significant in that market, and they're vital. They're truly vital to get this thing going at full speed so that it can be a self-supporting within its own self, where people can be allowed to buy up, it supports the remodel industry, et cetera. The government's taking action. You're seeing it, whether it's FHA premiums, et cetera, that there are things that are improving. Small banks starting to lessen their lending requirements and so forth, but it's still early stages. On longer term, we still remain very optimistic. We do expect to see continued growth in this calendar year. I just say we're going to be a little bit more on the conservative side compared to some of the high numbers we're hearing out there.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Got you. Okay, just -- so really, it's just there's some high numbers out there that are probably a little bit too optimistic?
S. Cary Dunston: Yes. Yes.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: And I guess, is the first-time homebuyer, is that the metric that you guys are really closely watching to maybe get you a little bit more bullish about just the strength of the housing recovery?
Cary Dunston: Yes, I mean there's a lot of variables but if you really compare this recovery to prior recoveries and one of the key bottlenecks that remain, it is that ability of that first-time homebuyer to get back in the market. Obviously, it's an entry level home, but that allows other folks that want to potentially sell to move up and even allows baby boomers to move down. It's just that domino impact of what this industry needs to really get into full-motion, and that first-time homebuyer as a relative percent of the total is still quite a bit lower than it was back in the, say, 2006 timeframe.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Right. Okay. That's very helpful. And then, I guess as we look at the repair/remodel channel. Is there any way to think about how -- the difference between just the home center market and the dealer market in terms of growth rates this quarter?
S. Cary Dunston: The coming quarter, or this -- quarter 3?
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Sorry, yes. Q3, yes. Yes.
S. Cary Dunston: It was actually interesting. The dealer channel, once again, it's hardly an exact science in those, but the dealer channel did not perform as high as we initially hoped and at the end of the day, some of it was for good reasons. We actually saw a lot of the dealers that, due to their success the past couple of years, were more willing to take a couple of weeks off for Christmas and literally just shut their doors and go on vacation, and that did impact some of the numbers. They continue to over-index as Scott said, though, relative to the home center market, primarily just due to the influence of the customer that's walking in the door. The average price of the cabinet they sell is quite a bit higher. And so they continue to do better, continue to over-index, and we do expect continued higher growth out of that dealer channel. And there are challenges, obviously Waypoint is still a new brand for us. We're growing it in the dealer channel. But relative to our total makeup, we will over-index as a whole just because we have more waiting in the home center market.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Yes, okay, that's great. And then, I guess just my last question, to maybe follow on to that. Could you update us a little bit on the progress in the dealer channel? I know you've made a lot of investments there and I guess, is the margin profile of that business today slightly below the overall company, and over time should we expect that to be more accretive just given the dynamics of that channel in terms of pricing and the customer base?
S. Cary Dunston: I'll talk a little bit about the business as a whole. It's definitely on our plan. It's still early, so we're definitely beyond the stages of covering our overhead cost with regards to our SG&A and so forth. We are happy with the margins. I think our opportunity is to go out and grow the business. We have a large number of dealers out there now. It really comes down to penetrating within those dealers and obviously with that comes incremental margins. So we're not where we want to be on margin yet but the opportunity to improve certainly remains.
Kent B. Guichard: Yes, this is Kent. I would add that the -- on a like-versus-like product basis, the market is pretty efficient, and we see similar margins on similar products, but as Cary mentioned, the difference is that the dealer channel has a tendency to sell a higher mix. So as that grows as part of our overall business, it will help reweight the average of the margin up but it's more due to the mix than a like-versus-like. The market's pretty efficient.
Operator: [Operator Instructions] We'll go next to Garik Shmois with Longbow Research.
Garik S. Shmois - Longbow Research LLC: Question on -- or I guess a follow-up on the comment around promotions in the remodel channel picking up. Just wondering, is this more of a seasonal development that you're seeing or is the pickup in promotional activity something that is potentially more sustainable as you look out over the next several quarters?
S. Cary Dunston: Yes, for most part, you will typically see a pickup in promotions relative to the spring selling season. That's what's budgeted in ours and certainly most others in the industry as you move into it. I don't predict it's going to be anything outside of what we would typically see in our Q4 relative to promotion. We've actually been fairly consistent on our side. You just -- you get a lot of variance when you look at a competitor-by-competitor standpoint. So we've seen a little bit of uptick relative to a few competitors out there. Nothing that I would say is out of the ordinary though for coming into the spring selling season.
Garik S. Shmois - Longbow Research LLC: Okay. And then next question is you indicated that you're starting or you lapped some hardwood inflation in the quarter, and that helped with the leverage. I was wondering if you could comment looking out how you are thinking about raw materials and energy and lower transport costs potentially impacting your business for the calendar '15?
S. Cary Dunston: We haven't quite finished the look forward on those respective measures. But with respect to material inflation, it has somewhat slowed. It wasn't 0 in the quarter. We still had an impact in our fiscal third quarter. But the pace has certainly slowed down. Fuel is certainly down as well, which helps from a transportation perspective. That was a slight benefit for us in the quarter as well. We're starting our process now as we go through our budget exercise and looking at external data to tell us what we think the most likely fuel price will be going forward. So nothing really specific there to offer other than we're in the midst of doing our groundwork on that.
Garik S. Shmois - Longbow Research LLC: Historically if you do see raw material relief, I guess, 2 parts. How quickly can you see that in the gross margin and how much of a significant benefit could you end up realizing?
S. Cary Dunston: Let me get that one. First, I want to make sure, we're -- right now, we're not anticipating we're going to see any type of relief relative to a potentially positive impact of inflation. We are going to see continued inflation into our fiscal year '16, the question is how much. So what Scott was referring to for our Q3 is inflation was less than that we initially forecasted, which was a benefit for us. But some of the preliminary numbers I have seen for our fiscal year '16 still show fairly significant inflation into our next -- fiscal year '16. The question is how much, and we don't have that detail yet.
Operator: At this time, there are no other questions in queue. I'll turn it back over to Mr. Eanes for any closing comments.
Glenn Eanes: Thank you. Since there are no additional questions, this concludes our call. Again, thank you for taking time to participate. Speaking on behalf of the management of American Woodmark, we appreciate your continuing support. Thank you, and have a good day.
Operator: And that does conclude today's conference call. We appreciate your participation.